Operator: Good afternoon, and welcome to the eGain Corporation Fiscal 2025 Fourth Quarter and Full Year Financial Results Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Jim Byers, Pondell Wilkinson, Investor Relations. Please go ahead.
Jim Byers: Thank you, operator, and good afternoon, everyone. Welcome to eGain Corporation's fiscal 2025 fourth quarter and full year financial results conference call. On the call today are eGain Corporation's Chief Executive Officer, Ashu Roy, and Chief Financial Officer, Eric Smith. Before we begin, I would like to remind everyone that during this conference call, management will make certain forward-looking statements, which convey management's expectations, beliefs, plans, and objectives regarding future financial and operational performance. Forward-looking statements are generally preceded by words such as believe, plan, intend, expect, anticipate, or similar expressions. Forward-looking statements are protected by Safe Harbor provisions contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to a wide range of risks and uncertainties that could cause actual results to differ in material respects. Information on various factors that could affect eGain Corporation's results are detailed in the company's reports filed with the Securities and Exchange Commission. eGain Corporation is making these statements as of today, 09/04/2025, and assumes no obligation to publicly update or revise any of the forward-looking information in this conference call. In addition to GAAP results, we will also discuss certain non-GAAP financial measures such as non-GAAP operating income. The tables included with the earnings press release include reconciliation of the historical non-GAAP financial measures to the most directly comparable GAAP financial measures. eGain Corporation's earnings press release can be found by clicking the Press Releases link on the Investor Relations page of eGain Corporation's website at egain.com. Along with the earnings release, we will post an updated investor presentation to the Investor Relations page of eGain Corporation's website. And lastly, a phone replay of this conference call will be available for one week. Now with that, I'd like to turn the call over to eGain Corporation's CEO, Ashu Roy.
Ashu Roy: Thank you, Jim, and good afternoon, everyone. We finished fiscal 2025 with strong bookings, good revenue growth, and improved profitability in the fourth quarter, ahead of our projections and street consensus. I note that our fourth quarter results also include a one-time tax benefit from the release of our full income tax valuation allowance. So let me start with some business highlights. The last quarter, we signed up the largest non-healthcare network in New Jersey as a client. They run 18 hospitals and have 36,000 team members. This client faced an urgent need to unify their knowledge management with strong governance because it was critical to support their rapid growth. They chose our solution to unify these knowledge assets, and these correct, consistent, compliant answers now coming out of the knowledge hub will be delivered to their contact center agents on the desktop provided by Cisco in the flow of the conversation with the patients. Another new client we won was one of the nation's largest credit unions. They set out to implement an enterprise knowledge management system and, in the past, had had a challenging experience with another vendor. They recognized the value of our AI knowledge hub, and now they'll be using it to deliver trusted answers to all employees, including contact center agents who are using our Genesys CCaaS desktop. Another great win for us last quarter was a deal we signed with an existing client. This is a global leader in workforce services. They support employees of over 4,300 businesses, including 70% of the Fortune 100. They will be deploying our AI agent for contact center. As you know, this is a new product we launched last quarter. This solution will help their service associates better handle over 15,000,000 phone calls every year. This will scale up next year to that level with proactive real-time guidance powered by trusted answers from our knowledge hub. It's very exciting for us to see the early interest in our AI agent products. We are now engaged with many CX leaders who we note have been unsuccessful as they have tried to implement agent assist solutions from other providers over the past couple of years. They seem to now understand that without a trusted knowledge infrastructure, all the AI-powered agent tools cannot deliver value because they cannot rely on those answers. Stepping back, I also want to share what I think is an important update to the large deal news that we talked about last quarter, the earnings call. As you may recall, we signed one of our largest deals in company history in April with a US mega bank. That bank is JPMorgan Chase. This deal was our third win inside the bank, building on our success in the travel group and their international business unit. Our AI Knowledge Hub will now serve all bank employees in their US Chase business. What is exciting for us is that we are now actively partnering with JPMorgan Chase to improve customer experience and drive AI efficiencies across the business. To strengthen this partnership, we issued warrants to JPMC in August, and they agreed to nominate a senior executive to join our eGain Corporation board as an observer. She will be a great addition to our strategic brain trust. I'm super excited about our innovative partnership with JPMC. As we know, they are one of the most tech-savvy banks in America. They understand the criticality of a trusted knowledge infrastructure to scale their AI ambitions. They have better knee game will deliver. And we will also benefit from their strategic insights and needs as we partner with them to design our next-generation products. Looking at the market, AI is starting to move now from what we would all agree as the hype peak toward more pragmatic pastures. Most of you probably read the recent MIT study based on an extensive survey of businesses. It reported that 95% of AI investments are not showing significant ROI. We know one big reason why: Without trusted knowledge, generative AI is stuck in the rut of garbage in, garbage out. No amount of language model improvement and deep reasoning solves this problem. The student can do only so well as the book she reads. Increasingly, businesses are recognizing this foundational need for trusted knowledge to deliver AI ROI. Our bookings in fiscal 2025 have started to reflect this growing demand. Our total AI knowledge ARR grew by 25% year over year. We expect that our total AI knowledge ARR will grow by 20% or so in fiscal 2026. We'll continue to extend our product leadership in this critical AI infrastructure market. We will continue to invest and, in fact, modestly increase our product development investments. Our R&D spend in fiscal 2026 will grow by roughly 6% year over year. At the same time, we are refocusing from less strategic products in our portfolio. So our messaging products, which have been in sustained mode for a few years, will now be sunset in fiscal 2026. On the operational front, we are streamlining our business with AI. This is improving productivity and quality. And we are deploying some of those savings into R&D, and the rest goes to our bottom line. Thanks to increased investment in R&D in fiscal 2025, we launched our new AI agent products. One for customer self-service in March, and the other for contact center in June. Since then, we have enhanced the products with deep connectors to enterprise platforms like SharePoint, Genesys, and Salesforce. These products are well received now in the CX market, where businesses are looking for solutions that deliver real ROI. We saw this interest firsthand at our eGain Solve customer event in London this June. Our demo lounge and the AI agent workshop were packed with attendees who wanted to play with the product and configure their own use cases. And so new pipeline opportunities have started to grow out of those engagements. Our next eGain Solve customer event will be held in Chicago on October 14 and 15 at the Hyatt Regency O'Hare. In addition to customer success stories, new product controls, demos, and workshops, we will also host an analyst day at the event. And we look forward to seeing some of you there. So to conclude, I believe we have made good progress in fiscal 2025. With a sharp focus on the AI knowledge opportunity in customer service, we invested early and heavily in R&D. We launched Eden AI agents, a new product set that effectively leverages our deep differentiation in knowledge management. We also acquired good logos in our target market, including JPMC, a marquee client and now a design partner in our journey to deliver the most trusted knowledge infrastructure for AI. With that, I'll hand it over to Eric Smith, our CFO, to provide more detail on the financials.
Eric Smith: Thanks, Ashu, and thanks, everyone, for joining us today. Before I begin, I want to mention that this is the first time we are using slides to support our earnings call. We believe this will provide helpful context and make it easier for you to follow our results and outlook. In addition to the webcast, you can find the slides in the Investor Relations section of the website under the updated Investor Presentation. And I will refer to them throughout my remarks today. As Ashu noted, we finished the year with solid bookings, a return to revenue growth, and strong profitability in the fourth quarter. Let me share more details about our financial results for the fourth quarter and full fiscal year of fiscal 2025 before discussing our outlook and guidance for fiscal 2026. Looking at our revenue, total revenue for the fourth quarter was $23.2 million, up 11% sequentially and up 3% year over year. This represents our first year-over-year increase in revenue in eight quarters. We believe we are now poised for growth in the coming fiscal year with momentum building in our AI knowledge business. Looking at non-GAAP gross profits and gross margins, total gross margin for the quarter was 73%, up from 71% a year ago. SaaS gross margin for the quarter was 80%, up from 76% a year ago. Now turning to our operations, non-GAAP operating costs for the fourth quarter were $13.3 million, down 3% sequentially and down 2% year over year. Looking at our bottom line, in the quarter, we recorded an income tax valuation allowance of approximately $29 million, which resulted in GAAP net income of $30.9 million or $1.13 per share on a basic basis and $1.11 on a diluted basis. Adjusted EBITDA margin for the quarter was 19%, up from 11% in the year-ago quarter. For Q4, non-GAAP net income, excluding the valuation allowance, was $2.4 million or $0.09 per share, compared to non-GAAP net income of $2.5 million or $0.08 per share in the year-ago quarter. Last note on the quarter, we bought back $3.8 million in stock at an average price of $5.97 per share. Turning to the full year results, looking at our revenue, for the full year, total revenue was $88.4 million, down 5% year over year, mainly due to the churn in our messaging business at the end of fiscal year 2024, which we had previously discussed. For the full year, SaaS revenue was $81.9 million, accounting for 93% of total revenue. Looking at non-GAAP gross profits and gross margins for fiscal 2025, SaaS gross margin was 78%, up from 77% in fiscal 2024. Total gross margin was 71% compared to 72% in fiscal 2024. Now turning to our operations, non-GAAP operating costs for the full fiscal year were $56 million, flat compared to the prior year. R&D for the full fiscal year was up 15% year over year, reflecting our investments in product innovation to capitalize on the significant AI knowledge market opportunity. Looking at our bottom line, adjusted EBITDA margin for the fiscal year was 10% compared to 12% in the prior fiscal year. For the full fiscal year, non-GAAP net income, excluding the tax benefit, was $5.7 million or $0.20 per share, compared to non-GAAP net income of $4.3 million or $0.40 per share on a basic and $0.39 per share on a diluted basis in the prior fiscal year. Turning to our balance sheet and cash flows, for the full fiscal year, we generated $5.3 million in cash flow from operations or a 6% operating cash flow margin, compared to $12.5 million or a 13% operating cash flow margin generated in fiscal 2024. Our balance sheet remains very strong. Total cash and cash equivalents at the end of the year was $62.9 million, compared to $70 million as of 06/30/2024. During fiscal 2025, under our share repurchase program, we repurchased 2.6 million shares at an average price of $6.3 per share, totaling $15.8 million. Of the $40 million authorized, $1.2 million remains available under the program at year-end. As we announced today in a separate press release, our Board of Directors approved a $20 million increase in our stock repurchase program, bringing the aggregate amount we may purchase from $40 million to $60 million of our outstanding common stock. This reflects our belief that our shares are undervalued and our confidence in our AI knowledge market opportunity. Now turning to our customer metrics, I've broken out the ARR knowledge metrics and total metrics to highlight the momentum in our knowledge business. Also, before sharing the metrics, one additional point is I will share actual and constant currency numbers where on previous calls, the ARR numbers shared were only in constant currency. Looking at ARR, first, SaaS ARR from knowledge customers increased 25% year over year or 22% in constant currency, while SaaS ARR for all customers increased 11% year over year or 9% in constant currency. Turning to our net retention rates, LTM dollar-based SaaS net retention for knowledge customers was 115% or 112% in constant currency, up from 98% a year ago, while net retention for all customers was 105% or 103% in constant currency, up from 88% a year ago. Our LTM dollar-based SaaS net expansion rate was 121% or 118% in constant currency for our knowledge customers and 114% or 111% in constant currency for all our customers. Looking at our remaining performance obligations, total RPO increased 17% year over year, and our short-term RPO of $63 million was up 4% year over year. Now turning to guidance, for 2026, we expect total revenue of between $23 million to $23.5 million. Turning to the bottom line for Q1, we expect GAAP net income of $900,000 to $1.6 million or $0.03 to $0.06 per share, which includes stock-based compensation expense of approximately $800,000 and warrant expense of approximately $1.4 million. The estimated warrant expenses are in connection with the warrant issued to JPMorgan as discussed by Ashu. For more details, please refer to the 8-Ks we filed on 08/18/2025. We expect non-GAAP net income of $3.1 million to $3.8 million or $0.11 to $0.14 per share, adjusted EBITDA of $3.7 million to $4.4 million or a margin of 16% to 19%. Looking at fiscal 2026, full year ending 06/30/2026, total revenue is expected to return to growth for the full fiscal year and be between $90.5 million and $92 million. GAAP net income of $3.5 million to $5 million or $0.13 to $0.18 per share, non-GAAP net income of $8.3 million to $9.8 million or $0.30 to $0.36 per share, where we estimate stock-based comp expense of approximately $3.4 million and warrant expense of approximately $1.4 million. Adjusted EBITDA of $10.4 million to $11.9 million or a margin of 11% to 13%. Looking at weighted average shares outstanding, we expect approximately 27.5 million shares for the first quarter and for the full year. In closing, our fiscal 2026 guidance reflects our excitement in the market opportunity as increasingly businesses are recognizing the foundational need of the knowledge hub to feed trusted knowledge to AI agents. Based on this, we are targeting 20% plus growth in ARR from our core AI knowledge offering. This growth will be partially offset by the sunsetting of our non-core messaging product, as Ashu mentioned. As this will take place through fiscal 2026, the current ARR impact of that is approximately $4.7 million. We expect to see gross margin expansion to be between 74-75% for the year, up from 71% in fiscal 2025, driven by streamlining our business with AI automation. To extend our product leadership in the AI infrastructure market, we plan to redeploy some of the savings into R&D investment, with an increase of 6% year over year, while still targeting an adjusted EBITDA increase of between 20% to 40% year over year. Lastly, we will be hosting an Investor and Analyst Day event in conjunction with our upcoming eGain Solve customer events on October 14-15 in Chicago. This event is a great opportunity for prospective investors and analysts to meet with customers and learn more about our business. You can register for the event on our website. We hope you can join us. And in November, eGain Corporation will be meeting with investors at the ROTH conference taking place on November 19 in New York. We'll be providing more details as we get closer to that date and hope to see some of you there in person. With that, I would like to open the call for questions. Operator?
Operator: We will now begin the question and answer session. Our first question today is from Richard Baldry, ROTH Capital. Please go ahead.
Richard Baldry: Thanks. So curious about the timing on the sunsetting of the messaging products. It looks like you'd be queued up for a pretty good year, and instead, that's going to be a pretty meaningful optic headwind. So what really drives that choice heading into fiscal 2026?
Ashu Roy: Good question there, Rich. So two things. One, we realized that because we are not investing as much in that—well, we're not investing much at all in new product capability—we are coming under increasing pressure, trying to hold on to clients, and these clients are looking for new solutions. They're looking for new capability, and we have a choice to make. And we believe that focusing on AI knowledge, which is what we are doing now, will have a much bigger sort of ROI for us.
Richard Baldry: Right. And can you talk about sort of the pacing on what you expect that to come out of the numbers so that we get an idea for—you've guided for the first quarter, but how should we look at that headwind versus the other side coming up as an offset throughout the year?
Eric Smith: Rich, I'll take that. So I think the expectation is that we will see the impact begin in Q2, where the run rate will reduce by roughly 50%, and then by 2026, as we get into the '7, we'd expect that to go down to zero.
Richard Baldry: Got it. Then on the JPMorgan side, can you talk about sort of the thought process around structures, around sort of intentions on that—you know, the board seat, the warrant $1.4 million in compensation for that, it's sort of a one-off event. The more you could flush that out, I think the better for us. Thanks.
Ashu Roy: Yeah. Look, we see JPMorgan as not just a great client, but also given how much they are investing in AI and automation, we see them as an amazing design partner for us and a thought partner. So, this is our way of kind of strengthening that relationship so that, of course, we are still vendors to them. And that is important to keep in mind. So, we do have to deliver. At the same time, I think we'll be able to get ahead of a lot of other providers in terms of knowing what the needs are and how best to address them, especially in the financial services vertical. So see it as a strategic opportunity for us to get an unfair advantage to build on top of the core technology that we have.
Richard Baldry: Then we're hearing a lot of people are sort of tire-kicking on the AI-type solutions. Can you talk about how much you're sort of working on active betas, how that sort of conversion to live deals, paid deals, you know, active deals is working, how that's trending?
Ashu Roy: Yes. You're right. I think pure AI solutions are getting, you know, kick-tested and pressure-tested. And I would say we are getting the same treatment. People are running pilots with us, and we are happy to run them for them using our innovation in thirty days. And now, we have the self-sign-up model as well, so people can sign up and play with solutions. Of course, they can't build complex use cases without some guidance from us. So, what we are seeing is that our AI pilot to conversion to deal rate—in the beginning, it was, I would say, a year ago, it was very volatile because we were learning how to make the solution work really well. And there was also managing the expectation, understanding the expectation of the customer. Now I think we are in a better place. I'd say the two out of three conversions still stands even on AI solutions for us now. So I'm feeling good about that.
Richard Baldry: And last for me, back to sort of the P&L. There's a pretty good increase in or decrease to the OpEx side and the COGS side. How do we think of whether each of those lines are one-off or more sustainable in nature? Maybe particularly on the COGS side? And there's some costs coming out as you sunset the messaging product. Where would those typically be coming out of? Thanks.
Ashu Roy: So I'll make a couple of comments, maybe because they do go deep into the way we are organized. So two things that have happened on the COGS side, and focus on that. One is that we completed our migration of all clients over to the new architecture, the new cloud platform that we have been working on for a few couple of years now. So we had mentioned that in the past. So that is one place where we are seeing benefits, which now will continue to be there. Right? So, that's one. But the second one is, with not just AI, but also our ability to develop new product and capabilities faster, we are automating the process of supporting and operating our cloud and being much more efficient on the cloud resources that we are using. All three of those. And so that is another big chunk of improvement if we are able to create on a sustainable basis.
Richard Baldry: Great. Thanks and congrats on the big step up to the EBITDA.
Eric Smith: Thank you.
Operator: The next question is from Jeff Van Rhee with Craig Hallum. Please go ahead. Jeff, your line is open on our end. Please go ahead.
Jeff Van Rhee: Can you hear me? Now we can. Oh, wow. Okay, great. Weird on my end. So yes, thanks for taking the questions. Maybe just maybe I missed it, but Eric, in terms of the SaaS, the ARR related to the SaaS side, if you could break it up knowledge, I think you gave last quarter was 54%. Just break down the components because it sounds like the messaging is going away, but I'm a little unclear on what the breakup of the ARR is.
Eric Smith: Yeah. So I think the 54 sort of—we're almost up to 60% now of the total ARR is for the AI knowledge.
Jeff Van Rhee: Okay. Yeah. So that's—and of the remaining 40, we've got messaging, which you're sunsetting. And then what's the remainder?
Eric Smith: The remainder is then broken out between the analytics hub and the conversation hub components, so making up the balance of that.
Jeff Van Rhee: Yep. So obviously, you've got some pretty good momentum on the knowledge side, and I mean, it sounds like you're definitely tapping into a real need there. On the analytics and conversation hub, how do you feel there? I mean, I know messaging, can see that with LivePerson and others have been really difficult and has changed pretty dramatically. How do you feel about your competitive position on the conversation hub to the degree you're leaning in there on product development? Just a little thoughts on conversation analytics and what you're seeing there.
Ashu Roy: Yeah. So let me start with analytics. I would say that analytics, while we continue to have a lot of focus on analytics as it is integrated into the knowledge hub and the conversation hub, but the part that Eric is talking about for analytics hub revenue, that's really a standalone for contact center analytics and particularly around large voice contact centers and Cisco contact centers. Right? So that, as you know, that was a business we had acquired and then we kind of built it up a little bit. I feel that that analytics hub revenue stream will be a cash cow for us and will slowly, probably, go away. But I think that trajectory is going to be fairly slow in terms of the reduction. On the conversation hub, I'm actually a little optimistic because I feel like as the AI knowledge hub—and we are seeing that a little bit now—as the AI knowledge hub business grows, that will pull in more and more of the what I would call now the escalation management because the front end is being automated. And so I feel like there'll be some positive win there, not necessarily in fiscal 2026, but I feel that in fiscal 2027, we'll see some upside to that.
Jeff Van Rhee: Yep. Helpful. And on the pipeline on the knowledge side, I mean, obviously, JPMorgan, you know, win kind of big flag waver to help you drive other business. When you look at the pipeline and you look specifically at MEGA deals that you're working on, just give us some color. Are there others of that caliber in the pipeline? And any other color on the pipeline would be helpful.
Ashu Roy: So I'll say a couple of things. First of all, at this point, I don't think we have a JPMC-sized deal in the pipeline. But we do have a good set of what I would call 7-figure opportunities, right, which are also very attractive, and we want to get more of those. So, that is happening for two reasons. I would say one is, of course, the core AI pool, which is there. But the second one, which is a good one for us, is that these deals are starting out in the contact center, but they are encompassing the rest of the employees as part of the sale. And so that ups the size of these opportunities.
Jeff Van Rhee: Okay. And Eric, on the numbers side, you gave a glimpse into the overall gross margins. I'm curious about your thinking on the services gross margins. Obviously, not the focus of the business going forward. Should we just think of it as a continued sort of minus 15%, minus 20%? How do you think about service margins?
Eric Smith: No, I think for the question. So I think our goal, along the lines of the optimization and efficiency that we've been driving, is to expect to get the services margins closer to breakeven, maybe slightly positive as the year progresses.
Jeff Van Rhee: Yes. Got it. Very helpful. Thanks so much.
Eric Smith: Welcome.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks.
Eric Smith: Thanks again for joining us today. Hopefully, we see some of you at some of the upcoming events, and we'll catch up at the next earnings call. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.